Operator: Ladies and gentlemen, thank you for standing by. Welcome to the California Water Service Group Year-end 2020 Earnings Conference Call.   I would now like to hand the conference to your speaker today, David Healey, Vice President and Corporate Controller. Please go ahead, sir.
David Healey: Thank you, Victor. Welcome, everyone, to the 2020 Year-end and Fourth Quarter Earnings Results Call for California Water Service Group. With me today is Marty Kropelnicki, our President and CEO; Tom Smegal, our Vice President and Chief Financial Officer; Paul Townsley, our Vice President of Business Development and Chief Regulatory Officer; and Shannon Dean, our Vice President of Customer Service and Chief Citizenship Officer. Replay dial-in information for this call can be found in our year-end earnings release, which was issued earlier today. The replay will be available until April 26. As a reminder, before we begin, the company has a slide deck to accompany the earnings call this quarter and year-end. The slide deck was furnished with an 8-K this morning and is also available at the company's website at www.calwatergroup.com. Before looking at the quarter and year-end results, we'd like to take a few minutes to cover forward-looking statements. During the course of the call, the company may make certain forward-looking statements. Because these statements deal with future events, they are subject to various risks and uncertainties, and actual results could differ materially from the company's current expectations. Because of this, the company strongly advises all current shareholders as well as interested parties to carefully read and understand the company's disclosures on risk and uncertainties found in our Form 10-K, Form 10-Q, press releases and other reports filed from time to time with the Securities and Exchange Commission.
Martin Kropelnicki: Thank you, David. Good morning, everyone. Thank you for joining us as we recap our 2020 efforts and release our 2020 results. We thought we would do it a little bit differently this morning. I'm going to start off with some brief comments, overview in the year and I'm going to hand it over to Tom, and then we'll go through our normal deck. I want to do that because almost by every measure, 2020 was a year like no other. We started the year with a delayed general rate case that this was almost a year late that we were able to book here in December, and we finished the year 2020 with record earnings. It was a year of record capital spending as we invested almost $300 million in our infrastructure improvement program, which is up 9.1% from 2019, which was our old record.  As part of this program, we replaced a record 169,000 feet of main during 2020, and we completed the largest single capital project in the company's history, the Palos Verdes Peninsula Water Reliability Project that went into service in the fourth quarter of 2020. We closed on our transaction of our acquisition of Rainier View Water, which doubled the size of Washington Water and as many of you may have noted, we increased our dividend 8.2% earlier this year in January, given the strong financial position that we were ending the year with. At a time when many companies were cutting spending and adjusting to the economic shock associated with the pandemic, we recognized the critical role our economic activity plays in the communities that we serve. As part of this, we donated thousands of units of PPE to first responders in the communities that we serve. And many of these communities that were underprepared were more the rural communities. We donated a record $1.7 million to various community support organizations that supported our customers during a difficult time with the pandemic.  We increased the size of the Cal Water philanthropic scholarship program for all eligible customers in the communities that we serve, and we recorded a record $51.4 million in diverse spending on diverse suppliers that help us achieve our mission throughout the service area. We forgave more than $400,000 of overdue balances for customers struggling to pay their bills.  And of course, we suspended shutoffs very early on during the pandemic to ensure our customers have the water, they needed to fight the pandemic at their homes. On the governance side, we completed the first ever ESG materiality assessment that lays the foundation for our continued work on climate change, sustainability, conservation and other major ESG and enterprise-wide risk that can affect our operations. We ended the year with 0 primary and secondary water quality violations. And despite the worst fire season in California's history, coupled with numerous public safety power shutdowns, none of our customers experienced any major outages during the dry hot summer months and fire season. The Cal Water team of water professionals operated safely 7 days a week, 24 hours a day, 365 days a year, doing what they do best, and we accomplished all this during the worst pandemic in the last 100 years. It was truly a year of countless challenges and many unknowns, and we're very proud to share our results with you here today. Having said that, I do want to take a special moment to thank all the CAL Water employees for their hard work and dedication that has led to the outstanding results that we noted during 2020. 
Tom Smegal: Great. Thank you so much, Marty. I'm going to start talking about the slide deck on Slide 5. If you want to follow along, if you have a copy of the slide deck in front of you. And this is our traditional table of results, and I'll just highlight a few key results. As Marty mentioned, our net income was a record, it was $96.8 million for the year 2020. That was up a little bit over 50% for the year. Earnings per share of $1.97, again, was up over 50% from the earnings per share from 2019. And the CapEx that Marty mentioned almost $300 million, that was up 9% from the year before. For the fourth quarter, which we'll also talk about briefly. We did see increased earnings per share of $0.31 versus $0.24 in the prior period, and net income of $15.5 million versus $11.3 million in the prior year at the same time.  So let me talk a little bit about the financial highlights and what led to this result on Slide 7. The increase was primarily due to the adoption of the California General Rate Case. As those of you who have been following us know, we were waiting for a final decision on that rate case throughout the year and did, in the third quarter, book what we had anticipated to be the final results of that rate case that turned out to be correct. The rate case was adopted on December 3 without any changes or material changes from what was expected to be adopted at the end of our third quarter. So the rate case really added to our revenue and net income. It also lowered the adopted purchase water and purchase power expense. And when those items came in a little bit higher during the course of 2020, we're allowed to book revenue associated with the balancing accounts that we have or the modified cost balancing account associated with purchase water, purchase power. And so what you'll see is that margin between revenue and water expense was what really -- that's what really increased our earnings for the year.  One other big factor that is both a factor within the rate case and outside the rate case are lower effective income tax rates. So within the rate case, we are returning to customers our excess deferred taxes associated with the lower federal tax rate in the Tax Cuts and Job Act. And that is a planned program over about a 9-year period. So what you'll see in our Rate Cases is lower income tax expense and lower revenue that goes directly back to customers. And then the second item was we exceeded our expectations for repairs and maintenance deductions. And this is the tax treatment that we have on mainline replacements within our water systems, we're able to expense that for tax purposes, and that exceeded the estimate in the general rate case and added to our earnings for the year and for the fourth quarter. And Marty and I have mentioned enough the capital investment, but just to highlight again, $298.7 million in capital improvements, including the completion of the Palos Verdes Peninsula Water Supply Reliability Project.
Martin Kropelnicki: Thanks, Tom. So yes, looking ahead with COVID and looking backwards and looking forwards, kind of seeing where we are. We're going to continue to operate with enhanced safety protocols. Cal Water developed that 5-stage COVID response plan. We have been operating in stage 3 of that plan, which is keeping people in pods, strict PPE requirements, dispatching employees from remote locations versus having them come into a central location. 90% of the CAL Water employees have been at work every day throughout the pandemic. Some of our corporate staff has worked remotely, but most of our assets are in the field, and most of those assets in the field have been productive all year, which is what helped lead to the record results that we've seen for 2020. 
Shannon Dean: Great. Thank you, Marty. So before I dive into our ESG highlights for 2020, I'd like to start with the strategic framework we developed 8 years ago, which you see on Slide 14, if you're following along. The point is long before ESG was top of mind for so many investors, we were setting strategy around ESG. You can see on our map right there in the center, we said our purpose was to enhance the quality of life for customers, communities, employees and stockholders.  And we were driven by our core values of integrity, service, value, corporate citizenship. So doing the right thing has always been in our DNA. Moving on to 2020. Something that we recognized is, even though we were doing so many good things in the ESG space, we weren't doing a very good job of telling our story. So as Marty mentioned at the outset, we completed a materiality assessment early in the year to help us identify the top most relevant ESG topics for us to help sharpen our focus. And now we're working on an ESG report that aligns with SASB and references GRI, which will be available in early April. So that's the reporting side. As for ESG performance, 2020 was a very good year despite all of its challenges. 
Paul Townsley: Thank you, Shannon. As Marty reported earlier in 2020, we completed our California General Rate Case and new rates are going into effect -- have gone into effect in 2021. So that's been positive. But we are, as 2021 dawns on us, we have a very full regulatory plate for us this year. We will be filing a cost of capital application with the California Public Utilities Commission on May 1. That is a triennial application and so we are due to file that this year. Also this year, in July 1, we will be filing our triennial California General Rate Case. And remember that those rates would be effective -- expected to be effective on January 1, 2023. So that's going on. We also have a number of other smaller rate cases in our other states that we'll be working on this year. So it is really a very full plate of regulatory activity. In the California General Rate Case, we anticipate that we will be filing and requesting continued strong capital investment for our communities in California. We're also going to be working on our rate design in this upcoming rate case, continuing to refine and improve our sales forecast and water cost forecast, and we're doing that because we're just getting better and better at it. And also, in this particular case, we expect that we will have a discontinuous of our RAM or our revenue decoupling mechanism. So we're really focusing on how to adjust all of these things so we can still continue to provide affordable and reliable water service and enhance conservation. So with that, I will turn the slide deck over to Tom.
Tom Smegal: Thanks, Paul. So just as a little bit more color on our capital investment update, as we've been mentioning, we invested $298.7 million in developer and company-funded capital investments in 2020. They exceeded our target range. Our target had been, I think, $260 million to $290 million and that was primarily due to the favorable working conditions we had throughout the year with COVID. There was a lot less traffic and a lot more availability of contractors and subcontractors. So we were able to accomplish more than we had anticipated. Our target for 2021 is $270 million to $300 million. Remember, we're in the third year of the California General Rate Case authorization that came out of the 2018 General Rate Case. That was a total of about $830 million over 3 years and so we've got the California spending plus spending in other states gets us to that target range for 2021. When we do file the rate case that Paul just mentioned, we anticipate releasing our capital plans for 2022 through 2024, and this will be our estimate based upon our rate case filing, and obviously, that filing will be subject to adjustment based upon the Commission's action throughout that process of that case.  Flipping to Slide 18. I wanted to mention the development that's happening today. We're announcing today that we have priced $280 million in first mortgage bonds through a private placement process. We priced $130 million of 30-year bonds with a coupon of 2.87%, and $150 million of 40-year bonds with a coupon of 3.02%. The bonds are going to be funded on May 11, 2021. We're very excited about the opportunities that this provides for us to continue our capital investment program to balance debt and equity for the company as we go forward with major capital improvements that we've been undertaking. One of the things I will highlight and again, ties back to what Paul just mentioned, is that this issuance, along with the other issuances of debt that we've done in the last couple of years, is going to bring our weighted average debt cost for the company, for California Water Service company below 4.3%, benefiting our customers through the cost of capital process and application beginning in 2022.  The adopted weighted average cost of debt back in 2018 cost of capital, I believe, was 5.51%. So we've seen a substantial reduction in the overall debt cost that we can share and pass that back on to our customers. As you all know, we are running an at-the-market stock issuance program, that's the other side of this debt and equity position. And in 2020, we issued $82.6 million worth of -- or we realized $82.6 million on stock sales through that at the market program. We do expect to raise about $300 million of equity over the duration of that program.  On Slide 19. For those of you who have been following us for a bit of time, this is a little bit different look at our CapEx chart. I wanted to emphasize that we've added the line item here of depreciation. So what you can see is the bars on the chart on Slide 19 reflect our CapEx that's happened over that period of time. And the line that's shown is our accumulating depreciation for each of those years. And what we mean to derive from this is that the company has very clearly been investing capital at a rate that is over 3x depreciation for the period of 2015 through 2020. I think I calculated this at 3.1x depreciation, but it's over 3.1% -- or over 3% -- sorry, let me say that again, over 3x depreciation, and we're hopeful that that can continue going forward to the next General Rate Case. As you can see, the estimate for 2021, the range that we gave was $270 million to $300 million, and the $285 million represents the midpoint of that range. On Slide 20, this is our traditional rate base chart. This has been updated with our adopted rate base for 2020 and the adopted range of rate base for 2021.  As you can see, we have an adopted rate base of $1.81 billion right now, and we have a few advice letter projects that remain to be approved in California. Those projects can be approved during the year or during next year and so that's listed as a variable from the high to low for rate base for 2021. So I'm going to leave it at that and let Marty take over on Slide 21. 
Martin Kropelnicki: Thanks, Tom. Looking at the business outlook for 2021. A couple of things to note. The first and foremost, we have a new Commissioner at the California Public Utilities Commissioner. We look forward to working with Commissioner Houck in her new assignment as she starts her new job at the commission. She has a legal background, spent a number of years as an ALJ. She's been a commission adviser so she's someone who knows the rate-making and regulatory world well, and we think she was a fine pick to add to the California PUC behind Liane Randolph, who termed out. In addition, we have a new Head of the Water Division who was named, Terence Shia. So we look forward to working with Terence in his new role as he heads up the Water Division at the California Public Utilities Commission. We have just really kind of a handful of things that we're going to be focused on, really, the first half of the year. One, as Tom mentioned, is filing the 2021 general rate case, in particular, with the new rate design getting rid of decoupling. We're very keenly focused on that. We're also very keenly focused on the affordability impacts of not having decoupling and what it means for lower income customers. So the team is busy working on that and trying to work on a very progressive rate design that kind of meets the needs of all our customers.  Second, we will be filing our cost of capital. The PUC denied our request for a 1-year extension on our cost of capital. The rationale was, frankly, pretty good, which is that we hadn't had a cost of capital proceeding in 4 years and was just time to come in. So the rates team is busy working on that. As I mentioned earlier, COVID, COVID is not going away anytime soon. And we'll continue to monitor and track the changes in the CDC guidelines and what that means for our employees, making tweaks and adjustments as we go through the ebb and flow or the peaks and valleys of the pandemic. With the same goal, overall goal in mind, which is keep customers safe, keep our employees safe. And then as Shannon mentioned, we're going to continue our investment in ESG efforts. We took a big quantum leap in 2020 getting that materiality assessment done. As Shannon said, it's in our DNA. We've just realized we got to explain things a little bit better and be a little bit more transparent. And I think you're going to see us continue to make big strides on the ESG side to improve our transparency for our investor base.  So in summary, as we wrap up what was a challenging year, we performed very well through the pandemic. And with the delayed General Rate Case, we got -- finally got that done. We ended the year with record earnings paired with record capital spending. We kept our employees and our customers safe and tried to do everything we can to help both those affected individuals, our employees and our customers to the fullest extent possible. And we need to thank our Board for allowing us to overspend our budgets on contributions and for giving some of the bad debt. The Cal Water Board was fantastic to work with during the crisis and quickly recognized the role that we play in terms of helping our communities out. It was a strong year of business development, probably the strongest year we've had in the last 20 years and the business development team has continued their work with a full pipeline of potential opportunities for the company to consider. And overall, we just look forward to starting the new year with a new set of challenges and getting 2020 behind us. It truly was a long year. Although we had great results, don't get yourself -- those results took a lot of people's efforts, and we're very thankful for the team that achieved these record results. So with that, Victor, we're going to open it up for Q&A, please.
Operator:  Our first question will come from the line of Ben Kallo from Baird.
Ben Kallo: Congrats on 2020. You navigate through all that. It's hard from our standpoint to know what all the work that your employees did. But thank you. On the numbers, just for '21, I think that consensus has numbers ticking down. I think that's a product of maybe not having the rate case fully baked in. But maybe if you could just help us with that. And then point two, well, how we should think about, like, longer-term growth as you go through the next rate cases and onwards?
Tom Smegal: Yes, Ben, let me start, and this brings us back to Slide 12 in the deck, and we can talk certainly more about that with other questioners as well as yourself. So we do see, if you look, if you kind of compare Slide 11 and Slide 12, if you will, we do see an increase in earnings in that core California regulated authorized earnings because of the jump in rate base. And so we're looking at a rate base of $1.6 billion in 2020, $1.7 billion in 2021. And so that is a positive to earnings. And think about that in the longer term. When I showed the CapEx growth, we've got roughly $175 million of additional CapEx minus depreciation every year that's going to keep adding to the rate base of the company, and that will continue to grow the earnings of the company. These other factors that we talked about on Slide 12, some of which were additive to earnings in 2020. They may or may not be as additive in 2021. And so that's kind of the message there is that there's a lot of variables outside of that kind of core regulated earnings potential. I mentioned a couple of things that were very favorable for us this year, particularly, I wanted to highlight the depreciation expense. And the depreciation was lower than was adopted. So we made more money on the California regulated operations than was adopted for us. And that's really a timing issue because as we complete plant projects, the depreciation comes in the next year. We had a lot of major project completions in 2020. That's going to hit us in increased depreciation in 2021. So that's a factor which will tend to pull our earnings back a little bit toward that regulated calculation. So some of the things like that would lend you to believe that 2021 is going to be a little bit more moderate, but as I say, we do have the increase in rate base, and you'd expect that would increase the earnings in a general way. Does that make sense, Ben?
Ben Kallo: It does. Look, maybe on, go ahead.
Tom Smegal: Go ahead. No, no. Go ahead.
Ben Kallo: No, on the biz dev front, Marty or Paul or Tom, the Washington deal was good. I mean how do we think about where you're focused on geographic? I know you probably don't want to do this on a live conference call, but where you're focused on buying assets? And then maybe even how you think any kind of infrastructure, from what you've seen, could impact you or not impact you? 
Paul Townsley: Ben, this is Paul. I will talk about the biz dev side of it. We have a very full pipeline of opportunities that we are working on. It's an exciting time for us to be in business development. And we do continue to focus on the states that we are in and states that are in the western part of the U.S. We believe that's our sweet spot. You've seen a number of other acquisitions that we've announced over the last couple of years, and you will continue to, should continue to see that kind of activity from us. But I can't talk about anything that's in the pipeline until we're ready to announce it. 
Martin Kropelnicki: Yes. The only thing I would add to what Paul said, Ben, this is Marty, is we tend to be value buyers. So we like acquisitions that are potentially undercapitalized that maybe have some operating challenges that need capital and where we can rise them up to our operating standards. And so we're not out doing M&A because we have lack of growth in the core rate base growth. Clearly, at a 3 times depreciation rate, we're growing rate base just by following our capital improvement program, our investment improvement program that we have within the company. But as Paul said, we're out there looking kind of in all the corners of the states that we operate in, looking for good kind of small to potentially midsized companies that are ready to sell and move on and need a capital infusion and need some help. And those are the ones that are ideal for us. So I think we'll stay kind of focused on the value side of the equation as we evaluate these deals. 
Ben Kallo: And congrats on the ESG front. 
Tom Smegal: Thanks, Ben. 
Martin Kropelnicki: Thanks, Ben. We appreciate it. Tom, just the one thing I would add to your point about the depreciation. We had the record investment of almost $300 million in 2020, but we also closed a record $391 million to plant. And that's that big bubble that will come through and show up in depreciation in 2021. 
Tom Smegal: Thanks, Marty. That's right, yes. 
Operator:  Our next question from line of Angie Storozynski from Seaport Global.
Angie Storozynski: So I have a question on the cost of capital proceeding. So as you guys noted the Commission wants you come in because it's been four years since the last proceeding. Now they do talk about lower interest rates. And I'm just wondering if it's mostly about the cost of debt, or the cost of equity, I mean, and also how that change coming in, in 2022 would impact your earnings, i.e., are you currently meaningfully benefiting from lower interest rates on the debt side as far as your earnings are concerned? 
Tom Smegal: Sure. Let's figure out, Paul. And maybe, Paul, I will start with the kind of the last side of that. So there's a couple of things going on that are difficult throughout 2020 and continuing through 2021. We do have a lower cost of debt on a weighted average cost basis, but we have a little bit more debt than we would normally anticipate. And that is due to these collections, and primarily the collections issue and also the RAM issue. And frankly, the third thing being the delay in the California rate case. So we have a number of dollars that are out there that are owed to us. And that requires us to increase our financing cost to maintain the cash reserves of the company. So I would say, are we net-net benefiting from lower interest rates? I think that it's pretty much a wash right now, and we would expect it to improve as we collect the cash from the '21 General Rate Case. But I think going forward, as those things normalize out, obviously, it's important for us to pass on to customers the lower cost of debt. And I think that's going to be a key consideration of what we do in that cost of capital filing. I think when we look at it, I think the overall rate change associated with the cost of capital that we will file in May, it's going to be pretty moderate, considering that lower cost of debt that's out there. So hopefully, that helps. I don't know, Paul, do you have any other thoughts on that issue?
Paul Townsley: Yes. On the equity side, we are, to be honest, we're still in the middle of doing the analysis of all of that. We still have over 2 months before we make our filing. We have our -- we're doing our research now on appropriate cost of equity to include in the filing. So it's too early for us to really be able to say what we are anticipating filing for. And then, of course, it's -- there's a process that we go through, the consumer advocate will file their points of view. And of course, we're also doing this in conjunction with 3 other water utilities. So what the Commission ultimately decides towards the end of this year is really unknown at this point.
Angie Storozynski: Good. And then separately, as you will be preparing to file your next GRC, which will have no full RAM. Is there -- and I understand that you're talking about changes in the rate design, which will be embedded in this filing. But I'm just wondering if there are some lessons learned from what you're seeing from San Jose Water, 2 years of coming below their water production volumes, meaningfully below? And if you feel like that's the risk that you are ready to manage and how you're planning to address it in that filing?
Paul Townsley: So I will start, this is Paul. With the loss of the full decoupling, it's obviously very important that we are as accurate as we possibly can, not only on the water sales side, but also on the water production cost side, the RAM and the MCBA, if you will. And we've been spending a tremendous amount of time focused on both of those issues in preparation for this case. At the end of the day, they're forecasts. And our forecasts are what we actually see in 2023, '24 and '25 are uncertain, but we're really trying to anticipate potential turndowns in terms of water sales because of drought or economic conditions and trying to make sure that our risk exposure is equal. We have, in essence, have picked a cost of production and water sales in which our downside risk and our upside risk are balanced. So it's an iterative process. We've been working on this for months and months so far. We expect that when we're ready to make our filing in July, we're going to have pretty solid numbers. But at the end of the day, we'll just have to see how that all plays out. 
Angie Storozynski: Good. And my last question on the non-California systems. I'm assuming that given that Hawaii is in its -- and given the downturn in tourism, that you would expect to see some higher realized ROEs on that non-California rate base as soon as 2021 simply because, again, there's going to be a pickup in sales volumes. Is that fair? 
Tom Smegal: I think that just from a business perspective, what Marty said is key. And that is we don't know where COVID is going. It looks really good right now. If you draw a straight-line through the direction of the COVID cases and the pandemic and the vaccinations, you'd say, "Boy, we're going to be out of this by summer, and everything is going to be lovely." We don't know that that's actually the case, right? There could be another surge, there could be other variants that come in. And so I guess if you suppose that the COVID situation improves to the point where people are wanting to travel to Hawaii, that's going to be a plus there. I think we have favorable rate designs in Hawaii. We did not see as big a downturn in profitability as you might expect, given that we have high volumetric charges that cover high purchase electricity costs. And so if you look at -- as we do, internally, we look at the margins in Hawaii. And frankly, considering that the hotels were closed and there wasn't much travel there, we did okay in Hawaii this year. So there would be an uptick if COVID is radically diminished. But I don't think it's going to be as big an uptick as you might expect. 
Paul Townsley: And then in our other states, Washington and New Mexico, our customer base are almost completely residential, small amounts of commercial. So we have not seen too much of effect there because of the downturn. 
Angie Storozynski: And just 1 follow-up on this. So some of these systems were added mid-year. So if you were to give us the annualized impact, earnings impact from those systems, so that we have a better year-over-year comparison, what would be the incremental earnings, if you were to own all these systems for a year during 2020? 
Martin Kropelnicki: Yes, probably the biggest one and the only one that would matter in any way to the company would be Rainier View. And I think you could go to the Washington UTC and look up the regulatory filing. I think the rate base, Paul, there last adopted was about $13 million for that system. I know we have a rate case coming in that we'll be filing this year as mandated in the acquisition. So it's, again, a return on that rate base that you can calculate. But the other systems have been relatively small. The biggest acquisition in Hawaii is not closed yet, and that's the Kapalua -- the Kapalua system. We expect that to close pretty soon here and hopefully, in the first quarter. And that could add a little bit to Hawaii. 
Operator:  And I'm showing no further questions in the queue. I'd like to turn the call back over to the speakers for any closing remarks. 
Martin Kropelnicki: Great. Thanks, Victor. On behalf of the team here at Cal Water, thank you for joining us here today. Any follow-up questions, feel free to reach out to us, and we'll look forward to announcing our Q1 results with everyone at the end of April or early May. So be safe, have a great day, and thank you for your support during 2020. Thank you. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.